Martin Thiel: Yes. Many thanks, and good morning, all. This is Martin from TAG. Many thanks for dialing in into our Q1 2025 conference call. As always, I will run you through the presentation, which should be perhaps today quite a short one as we just have spoken 6 or 7 weeks ago in connection with the publishing of our annual report. And Q1 normally is not that spectacular quarter. But yes, let's start with the presentation. And then, of course, we have time to discuss afterwards. So let's take a quick look at the highlights slide, and I'm on Page number 4 of the presentation. We think it's fair to say that it was a good start into the year. So if you look at the FFO I development, we've been even slightly above quite strong fourth quarter 2024 with €44.9 million. But perhaps even more important was the good development in the operational segment. That means the EBITDA adjusted from the rental business was up to €62.8 million in Q1 2025. And if you compare that with the previous quarter and also with the first quarter of 2024, this is quite a strong increase despite the disposals that we still had in financial year 2024 in Germany that have been now effective at the end of 2024 and at the beginning of 2025. So therefore, operational results are still growing despite this disposals. We strong rental growth in Germany and in Poland, 3.0% like-for-like rental growth in both markets. Looking at the sales segment in Poland, the result was lower in Q1 2025 with just €5 million compared to the previous quarter and also compared to the first quarter of 2024. But this is not a concern for us. It's more, let's say, a technical issue. You know that the results always depends on the number of units handed specifically over in 1 quarter. And we already expected that the first quarter of this year is weaker simply due to lower number of handovers planned. But our guidance still assumes that we have more handovers in the course of the year, and we are very confident this will happen. So we should see very naturally higher earnings in the next quarters in line with our guidance. Quite positive development in the number of units sold. So we sold almost close to 600 units in the first quarter in Poland of 2025 compared to roughly 500 units in the previous quarter and still on a high sales price level. I mean we reported that the sales prices in Poland have increased really significantly. So all in all, nearly 45% increase in the last 3 years. We still see a year-on-year increase of around 5% or in some markets, even up to 10% in Poland. So therefore, on this high basis, a higher number of units sold should be a good sign. EPRA NTA and the LTV developed very positively in the first quarter of 2025. So the EPRA NTA per share stands now at €19.75. This is a 3% increase compared to the previous quarter and a 6% increase year-on-year. LTV was reduced to 45.6%. So we are basically at our LTV target, which is approximately 45%. This is a reduction of 130 basis points in comparison to year-end 2024. Reasons for that are, of course, our really strong operational cash flow that we have from our ongoing business, but also some disposals that we already signed in financial year 2024, now closed in the first quarter of 2025. And we also benefited from a little bit stronger zloty at the end of the first quarter. If you ask us, well, what's the trend regarding EPRA NTV and LTV, when it comes to the property valuation, I mean, we cannot give a very specific guidance for the half year valuation. But for us, it's clear that firstly, we will see in Poland further value growth. So as we have seen in the past 2 or 3 years. And for us, it's also clear and perhaps you have seen our comment in the press release that in Germany regarding the property valuation, the times of devaluation is behind us. So we already saw in the second half of 2024, a value increase of 0.9% in the German property portfolio. Again, we cannot give a specific guidance in terms of number, but a similar value increase like we saw in the second half of 2024 for the first half of 2025 in Germany would be a kind of base case for us. And that means simply, and that should be good news that we are now entering a time where in Germany are at least slightly growing again. Looking at our liquidity position, this is in the meanwhile very strong. So we have nearly or exactly €1 billion of free cash in the balance sheet. This strong cash position was also the result of a quite successful issuance of convertible bonds of €332 million in March 2025. And this forms the basis not only for the refinancings that we have in the next 2, 3 years in terms of upcoming unsecured debt maturities. So this is basically all done, including the convertible bonds of €470 million that is due in August next year. This is -- and that's also important to mention, really a very good basis to grow our Polish rental portfolio in the next years, which is clear for us still a preference when it comes to capital allocation. Today, we confirm our guidance for financial year 2025. If you look at the run rate for FFO I, we should be on a very good way to achieve the guidance. I explained that the net income from sales in Poland in the first quarter is seasonally or technically lower. So we're still confident or very confident that we achieved the full year guidance. And we will also distribute a dividend after 2 years of dividend suspension when it comes to this year's AGM, which takes place tomorrow. We will also offer, as already announced to our shareholders, a choice between cash dividend and new TAG shares. Just to make clear, potential new TAG shares that come from scrip dividend are already factored in into the guidance. So when we confirm the guidance for financial year 2025, it's very clear any potential new shares from this scrip dividend will not lead to a change in the guidance when it comes to the FFO I per share, for example. So the scrip dividend could support our further growth opportunities that we simply see as of today, especially in the Polish rental market. On the next slide, you see some more details on the highlights of our German and Polish portfolio. I think we can skip that. Let's take a quick look at Page number 8, where we have, as always, the calculation of the EBITDA, the FFO I and the AFFO. I mean I already mentioned the most important developments, but just a quick comment on the AFFO development, which is up year-on-year by around €6 million, but not -- sorry, not year-on-year, but quarter-on-quarter. So we ended up at €27.9 million compared to €21.4 million quarter-on-quarter. So generally good that we increased our AFFO. And as explained, we also had a slightly increased FFO I. But don't read too much into a kind of swing, for example, in capitalized maintenance that you see here, which was reduced by roughly €8 million. This is simply something seasonally. So for the full year 2025, we expect when it comes to CapEx levels, so whether this is capitalized maintenance, modernization CapEx, roughly the same amount like in the previous year. Page 9 shows the EPRA NTA calculation. Again, 3% increase quarter-on-quarter and a 6% increase year-on-year. And the 6% increase year-on-year, just to make this clear, includes also devaluation that we still had in the first half of 2024. So in rough numbers, we know if the EPRA NTA is based on a 0 valuation result, we achieved currently an annual growth of around 7% to 8%. So if we achieve perhaps even a slight value increase in Germany, we are quite quickly in a double-digit EPRA NTA growth on a year-on-year basis, which should be a quite good figure. Page number 10 shows the financing structure. As mentioned, we are regarding the LTV almost to our LTV target. Perhaps a comment on discussions with rating agencies. You see here on the bottom right that we have 2 investment-grade ratings, both on the same level, so Baa3 at Moody's and BBB- at S&P, both with a stable outlook. S&P finished their review in April 2025 and confirm the rating. We're right now in discussions with Moody's in the annual rating meeting, and I think they will publish something in the next weeks. It's fair to say that with both rating agencies, we are on a good way towards, let's say, a clear positive trend regarding the rating. Perhaps we need some more patience when it comes to really positive rating actions, but simply looking at the financial metrics that we have, we are already above our current rating level. So that should be really the basis for an improvement in ratings in the next quarters. Page number 11 shows the maturity profile. I already mentioned that we basically have refinanced all upcoming capital markets debt in the next years, especially the €470 million convertible bond that we will repay from existing cash and also the €125 million corporate bond, which matures in June this year. You see in this orange boxes outstanding bonds that we or more specifically our subsidiary, ROBYG has issued in the Polish market. We will continue issuing the Polish bonds because we think it's a value that, first of all, ROBYG has its own financing sources and had this for many years and is here quite strong and active in the Polish market. But secondly, the strategy is simply to keep the sales business, which is mostly represented by ROBYG self-financing. And therefore, the smaller Polish bonds will also continue in the future. Page number 13 shows some operational developments in Germany. So as already mentioned, a good like-for-like rental growth with 3%, including vacancy reduction and 2.5% excluding impacts from vacancy reduction. Top right of this slide shows you our total maintenance and CapEx levels on a per square meter basis. Again, the €21.1 per square meter is somewhat lower than the 3 years before. But for the full year, we expect a similar level like in the past 3 years. Page 14 shows the vacancy rate development in our German portfolio. And don't -- we should not be concerned by a slight increase in vacancy rate by 30 basis points in the first quarter first quarter. If we look at Q1 2024, Q1 2023, you will also see a slight increase in this case, by 20 basis points. But honestly, the difference between 20 and 30 basis points is more a rounding difference. So therefore, very similar like in the first quarter of the previous years, we saw a slight increase. For the full year, we are still very optimistic because of the strong demand that we see in the market that we can reduce vacancy further compared to the 3.6% that we had at the beginning of the year. Let's take a quick look at the Polish portfolio when it comes to the rental portfolio. You see the details on Page number 16. So 3,350 units now on the market. Total vacancy rate of the portfolio stood at 6.3%, but this a little bit higher vacancy rate compared to the end of the previous year is simply the effect of some units that are finished in the first quarter of 2021. So if we just look at units that have been on the market for more than 1 year, the vacancy rate of that unit is very low. It stands around 1.9%. I think I have already mentioned main trends regarding sales results in Poland and handovers. You see more details in comparison to the previous quarters on the Pages number 17 and 18. So therefore, finally, a quick comment on Page number 20, which shows you the guidance for financial year 2025. As said, we leave all guidance unchanged. First quarter of the year should have been a good start, especially looking at the development of our rental business. So regarding the EBITDA and also the FFO I in total, we are quite comfortably positioned with our current guidance. So this should be a good basis for the following quarters to come. Yes, that's it already from my side. It's a quick overview, but of course, now very happy to take your questions.
Operator: [Operator Instructions] The first question from the phone comes from Marios Pastou with Bernstein.
Marios Pastou: Both actually relate to Poland and maybe if we split out sales and handovers into 2 separate questions. Firstly, really on the quantum of sales in Poland. I think if we annualize the first quarter, you're tracking slightly below your guidance for €450 million this year. So I wanted to check how demand is trending and if you're still seeing support on pricing. And then question 2 on handovers, a slower start but technical, as you mentioned. So what proportion of the 2,100 unit handovers you target this year are secured? We're just trying to ascertain the level of visibility you have here?
Martin Thiel: Perhaps start with the second question regarding handovers. So for all the handovers that we have planned for the remaining part of 2025, the presale ratio is very high. So I assume it's between 90% and 95%. So therefore, it's really secure. It's not a question of if we can sell the apartments to a certain price, it's simply finishing the construction and then handing over the apartments to the client. So therefore, that should be very visible for us. And regarding the sales numbers, I mean, you're right. And if we analyze the 600 units for the full year, we would end up at 2,400 units compared to 2,800 units for the full year. But we are optimistic that the sales numbers will increase now in the next quarters. On one side, clearly, we see still strong demand in the market. We see especially the purchase prices are at least stable even though the prices have increased that strongly in the past 3 years. But very simply speaking, we also have now really a larger offer compared to the previous quarter. So we received quite a significant number of building permits. And that means because this is always the point in time when we can start selling, we can now really start selling and have already started selling new projects. So therefore, yes, we are confident that the sales guidance of 2,800 units still makes sense.
Marios Pastou: Okay. Maybe just as a follow-up to that, can you maybe comment on any of the trends you've seen through the second quarter so far?
Martin Thiel: I mean the second quarter is just 5 or 6 weeks old. So therefore, and you should not expect any major changes. Perhaps commenting a little bit more general on the Polish market, and this is perhaps also true for the rental market. We've seen extremely strong price and rent developments in the last 2 to 3 years. Again, sales prices up 45% within 3 years, rent prices up nearly a similar level. So therefore, a flat development of sales prices is for us, definitely not a disappointment. It's really good to see that sales prices of this strong increase are stable. And we are very confident that sales prices will start to increase again at some point in time. Interest rates in Poland are going down. Also the Polish National Bank has cut interest rates now by 50 basis points. So that should support our sales activities. And when it comes to the rents, it's not the case that we have a flat rental development after a strong increase of rents in the last 2 to 3 years. We are still growing that. So 3% like-for-like rent increase. So therefore, you can say on the one side, a little bit normalization, but normalization on the back of a very strong growth in the past years.
Operator: The next question from the phone comes from Andre Remke with Baader Bank.
Andre Remke: Probably another try to give us a feeling on the second quarter when it comes to handover. Will we see already a pickup here? What are the planning? Or will it be in general more back-end loaded with regard to the handover? This is the first question, please.
Martin Thiel: Andre, so this is back-end loaded towards the fourth quarter. This is not unusual. I think last year was a little bit different, but normally, it's very simple to explain. Most handovers are really at the end of the fourth or towards -- or during the fourth quarter. So construction time for the sales apartments takes 18 months. Of course, we try to avoid 2 winters when it comes to construction time -- construction activities. So that means most construction is started more or less right now. So March, April, May. And then when you add up this 18 months, very naturally, you end up with the finishing of the construction work in the fourth quarter of each year. So therefore, you should expect that the most handovers take part towards the end of the year like in the previous years.
Andre Remke: Yes. That's very helpful explanation. The second question is on your disposal and acquisition strategy or pipeline. In the last call, you mentioned potential smaller acquisitions probably in Germany too. And is this still on the agenda? And on the disposal side, anything you are working on for the months to come?
Martin Thiel: Yes. Thank you, firstly, for this question because I have not mentioned this in the presentation yet. So this is still on the agenda. And it's fair to say on both sides that this is more opportunistically driven. So let's start with the disposals first. You've seen that we only sold a few units in the first quarter of 2025. But we've said, well, our kind of formal disposal program has been finished in 2024, we are basically at the LTV target level. So therefore, we will look at that opportunistically. You should not expect very huge disposals from us in Germany next month, but it's really opportunistically. We're also working on acquisitions. In Germany, it turns out, and perhaps that is also good news that the market is not flooded with super great portfolios at a very low price that you can get. So honestly, it turns out that it's quite competitive in some processes. So we've been also outbid in some processes around typical TAG portfolios. So something in East Germany, midsized cities, sizes €20 million, €30 million, €40 million, which is perhaps on the other side, good news. So I'm sure we will find something, but we're not specifically guiding for a certain number of units, but that's an interesting insight coming from the transaction market, there is activity. We are not the only one who is looking at potential acquisitions. And that also supports our thesis that the values in Germany should grow again.
Andre Remke: Okay. And are you also looking into the LEG portfolio on the table after the acquisition of BCP? Or is it in terms of size too large?
Martin Thiel: I'm hesitating to comment on specific portfolios that are on the market, and this has nothing to do with LEG or Eastern Germany. But I mean, we would look at high-yielding assets preferably in Germany. So therefore, gross yields that should be at least in line with our current portfolio growth yield, which stands at 6.6% and perhaps with some potential for vacancy reduction so that we can really do something. And this is perhaps not really in line with the portfolio that you just mentioned.
Andre Remke: Okay. Very helpful. And the last question is on your cash position of €1 billion. I know €470 million reserved for the convertible next year. But the remaining €0.5 billion. What cash level is needed to manage the operational business in Germany and Poland and the execution of the pipeline in Poland?
Martin Thiel: Yes. Indeed, you need to make a difference and that's important between what is operationally needed and what is needed for investment. So when it comes to the pure operational business, firstly, important to repeat this again, the sales business in Poland is self financed. So this business is, of course, highly profitable. ROBYG is issuing its own bonds, has its own bank loans and so on. So there's no -- just as an example, no single TAG shareholder loan within the sales business. When it comes to the pure operational business for existing properties in Poland as well as in Germany, the cash needs are very low. So give or take some €20 million, €30 million, €40 million as a cash basis plus credit lines that we have of nearly €200 million should be very comfortable. So then it comes indeed to investment plans. And as a rough number, you know that we have a target of 10,000 units to be completed at year-end 2028. So that means in the next 3 years, we need to invest in the Polish rental portfolio. The land bank is already paid. So that's done. And by the way, it's fully owned. So we know that we need roughly around €150 million a year to execute on this plan. And the €400 million that are currently left as cash after refinancings or repayments of bonds of €125 million this year, €470 million next year are dedicated for that. And that's as a final comment, why we say this growth that we have in the Polish rental business is very visible. We have the land bank. We have a lot of liquidity. And of course, we have a strong team and platform in Poland who can execute on this plan.
Operator: The next question from the phone comes from Sheetal Jaimalani with Deutsche Bank.
Sheetal Jaimalani: Most of my questions, I think, are answered. Just a follow-up on the Polish rental business. I understand that you look at 10,000 units by 2028. What is your target for this year for delivery?
Martin Thiel: For this year, the number of deliveries is quite small. So I think we expect some 300 or 400 additional units that are coming. And the portfolio will grow more meaningful in 2026, 2027 and 2028. Why is that the case? As you know, for some time, we have simply not started any new projects because 2022, 2023 and also to a certain part of last year, the refinancing was a priority. So this is done. So therefore, we already started new projects in 2024. We will continue to start new projects in 2025. And as the construction time for a rental apartment is around 24 months, you should expect that, for example, any project that has started today, the finishing of this project is then 2 years later, in this case, in 2027.
Sheetal Jaimalani: Okay. Got it. And in the Polish sales business, I understand you said that the sales price have increased 5% year-on-year. Do you see that the sales prices are reaching a peak?
Martin Thiel: Yes, I think it's fair to say that sales prices are stabilizing. And of course, affordability ratios need to pick up, which have, by the way, not worsened that much. Salaries in Poland are developing quite well. So if we look at statistics nationwide, sales growth -- salary grew by some 8% or 9% per annum. So that's good to see. So therefore, after the 45% price increase in the last 3 years that we have a year of, let's say, stable sales prices should be something very normal. But again, as the demand in this market is simply high, especially for our products. So for new constructed apartments in the big cities, we clearly expect a positive trend in the years to come.
Operator: The next question from the phone comes from Stephanie Dossmann with Jefferies.
Stéphanie Dossmann: Most of my questions have been answered as well, but maybe a follow-up on, again, the Polish sales market. You have said in the past that you were seeing a kind of pent-up demand due to the wait-and-see attitude of customers on the first-time buyers' incentive scheme. Since it is clear that there will not be any, do you see some kind of demand that has been unlocked or not?
Martin Thiel: Yes. Thanks for the question, Stephanie. As I've seen the sales numbers already increased quarter-on-quarter, give uncertainty around new sales subsidy program on the one side is gone because there is a new subsidy program on the market. On the other side, we have now on Sunday, the presidential elections in Poland and perhaps the new president in Poland is then someone who's coming from the current coalition in Poland. So then there are already voices that they are doing really some reforms and perhaps potentially look at another subsidy program. But -- so simply speaking, and perhaps it's quite normal. There are always discussions around that. But again, we will see a positive trend in sales numbers not only, as I mentioned, because the demand is simply there also because we have really now, as we think, good projects on the market that we will see the demand from the customers.
Operator: The next question from the phone comes from Simon Stippig with Warburg Research.
Simon Stippig: First one would be in regard to Poland. You show here 300 basis points rental growth that has decelerated from a year ago where I think it was 10.1%. Surely, it's somehow also tied into inflation. But is that something you would expect for the remainder of the year and also in the medium term?
Martin Thiel: Simon, so our guidance for rental growth in Poland stands between 3.0% and 3.5%, so more or less exactly where we are. Looking at the medium term, there is definitely demand for this product. And here, even a little bit more specific for institutional rental products because we have a clearly differentiating factor towards our competition and our competition is mainly coming from private people, which represents 99% of the landlords in Poland. We see that a lot of customers, a lot of clients, a lot of tenants are extending their contracts are very happy with the service that we offer that this institutional ownership creates a new perception of renting apartments in Poland. So all of a sudden, it's something that they can do for more years. So this on top of a structural strong market should lead to continuous rental growth. I mean, before this extreme increase in rents, we had rental growth, let's say, between 3% and 5% per annum in Poland. If you take this as a rough range for the medium term, that's a good estimate.
Simon Stippig: Okay. Great. Second one would be, you mentioned sales prices in your to sell portfolio increased again. Could you comment on the year-on-year increase? And then more importantly, here, what's your cost expectation going forward?
Martin Thiel: Yes, indeed, we still saw a slight price increase year-on-year, as mentioned, construction costs have not increased that much in the last 2 years. I mean, this was a different picture in 2022. But let's look at that at a longer period. So over the last 2 years, last 3 years and looking at our gross margins, so we are still at gross margins even above 30%. And that's also true for projects that we start right now. So if you do a calculation for a new project, and we always base that on today's sales prices, today's construction costs, then the gross margin that we end up is still above 30%, which should be very healthy and which has increased compared to some years ago when we started in Poland. So I remember 4, 5 years ago, looking at sales margins in Poland, also in our operations, this was more something around 28%. So therefore, sales prices have clearly increased stronger than construction prices. And looking into the full year 2025, do we expect a strong increase in construction cost, this is not the case.
Simon Stippig: Okay. Great. And then 2 short ones in regard to your cash position, you mentioned €400 million you would actually invest over the next 3 years then. Where do you invest the €400 million? Is it in short-term deposits? Or is it just lying on the bank?
Martin Thiel: I'm not sure if I get the difference. So it's lying on the bank in short-term deposits. So we want flexibility.
Simon Stippig: Great. And then last one would be, if I look into your commercial portfolio in Germany, your vacancy rate increased by 70 basis points quarter-over-quarter. I know that has been relatively stable over the past years, but just to ask now, is there anything particular ongoing with this vacancy rate? And then also what's your expectation there? Do you see that slightly increasing over the coming years? Or is it something that is structurally stable?
Martin Thiel: Yes. Perhaps the base case is that it's structurally stable or slightly reduced. As the portfolio is quite small and also the number of square meters is quite small, it happens from time to time that if we rent out, let's say, a small supermarket or if we have one vacancy in a commercial unit or some commercial units, then this vacancy rate for this quite small sub portfolio percentage-wise goes up quite strongly. But you should not read this as a trend that we're now going here in a different direction.
Operator: The next question from the phone comes from Manuel Martin with ODDO.
Manuel Martin: Martin, two questions from my side, please. First question -- one by one. First question would be on the like-for-like rental growth in Germany. So TAG achieved 3% in the first quarter. Could you elaborate a bit on your guidance for the full year also against the background that it seems that some cities like Leipzig, for example, have bright prospects when it comes to rental growth? Can we expect something good for 2025?
Martin Thiel: Manuel, we are optimistic on like-for-like rental growth. So with the numbers that we've published today, we are more or less exactly in line with the guidance. The trend is very clear. If you look to our presentation, I think it's on Page number 13. The like-for-like rental growth has increased, especially when it comes to what we call the basis like-for-like rental growth. On Page number 13, that's the light blue color, which is now at 2.5%. That was also the number at the end of last year. If you compare that with previous years, that was more 1.8%, 1.5%. And this is not an investment-driven like-for-like rental growth. It's really coming from pure Mietspiegel increases, reletting and the amortization impact is very small. So this shows you that the underlying trends are clearly developing very positively. So we have not given any guidance for next year. And for 2025, we should be on a very good way. But the trend is there, rents are simply growing in Germany and also in our portfolio.
Manuel Martin: Okay. My second question and last question would be on modernization. You mentioned that already. How do you see the picture for the TAG portfolio when it comes to modernization also given that we have a new government and maybe pockets will be opened to support modernization in the housing sector. Is that something which is imminent for you right now? Or is it a bit more far away?
Martin Thiel: Perhaps it's fair to say that it is not that important for us compared to other growth plans that we have. So -- and I think we've been also quite explicit on this that the main investments will happen in the next 2 to 3 years in the Polish rental portfolio. I mentioned the amount that we're spending there every year, so roughly €150 million plus financing needs plus the cash flow from the Polish sales business that we keep in Poland and use for the rental business. So therefore, we are quite significantly investing in that. So yes, we will also invest in our German portfolio. Good for us is that it's not strongly needed as the construction quality is very good. Energy efficiency is already very high. So therefore, we are still concentrating on modernization programs with good returns, which is still always a project where we additionally can reduce vacancy. When it comes to perhaps, call it, normal modernization projects for fully let out apartments, yes, we're doing this as well because also we need to work further on our energy efficiency. In this regard, I think there's a clear positive trend when it comes to the new government. So we expect, as you said, that the pockets are more open or to be more precise that the view is changing a little bit. So not so much pressure on landlords to modernize the apartments, but more something voluntary plus more support from green energy coming from the cities, for example, via district heating systems as the focus, and this is also explicitly stated in the coalition agreement is switching from energy efficiency of building more to CO2 emissions. And that could also be achieved by improving energy systems. So therefore, yes, it's clearly a good development, but we are not dependent on that to show further growth.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Mr. Thiel for any closing remarks.
Martin Thiel: Yes. Many thanks all again for taking part in this call and for listening to it. I hope to see you soon. Hope to see you, especially at our Capital Markets Day, as a reminder, which is taking place on the 11th of June in Gdansk. That's an interesting day. For those of you who want to attend, please feel free to contact us any time. Many thanks again. Have a good day, and talk soon.